Jenny Lai: Good morning and good evening. Welcome to Lenovo's earnings webcast. Thanks to everyone for joining us. This is Jenny Lai, Vice President of Investor Relations. Before we start, let me introduce our management team joining the call today. We have Lenovo's Chairman and CEO, Mr. Yang Yuanqing; Corporate President and COO, Mr. Gianfranco Lanci; Group CFO, Mr. Wong Wai Ming; President of Data Center Group, Mr. Kirk Skaugen; and President of Motorola, Mr. Sergio Buniac. We will begin with a presentation shortly. And after that, we will open the call for questions. Without further ado, let me turn the call over to Yuanqing. Yuanqing, please.
Yang Yuanqing: Hello, everyone. Thank you for joining us today. Before we start, I want to share my heartfelt sympathy to those affected by the novel coronavirus. I also would like to express my deepest appreciation to all medical professionals for their dedication in fighting the diseases. Lenovo also responded immediately to the outbreak. We have donated and installed all IT equipment necessary to construct the two new hospitals in Wuhan. Donation from Lenovo employees and the Lenovo Foundation has arrived at places they need. We have also given away 100 activation keys of our remote office and the online meeting solutions to hospitals and small and the medium-sized businesses, which are heavily impacted by the epidemic. Although, the outbreak happened around the Chinese New Year, Lenovo reacted right away and worked day and night throughout the holiday to implement a series of measures to protect the safety and well-being of our employees. Thanks to our global manufacturing footprint, while our factories in China are some of the first ones to resume production in the industry. Our factories outside of China continued to operate. While the demand in China is impacted temporarily, the demand from the rest of the world remains strong, which will help accelerate the recovery of our capacity in China. We have also been working closely with our supply chain partners to ensure normal operation. Now, let me turn to our quarterly earnings. Last quarter despite the geopolitical uncertainties and the industry-wide supply shortages, we demonstrated our world-class operation and the strategy execution capability in delivering a record setting performance. Both global revenue and the pre-tax income reached the all-time highs. Our Group revenue was US$14.1 billion. Pre-tax income grew by double digits year-on-year and reached US$390 million. Net income also improved by double digits year-on-year to US$258 million. These results will not be possible without our operational excellence, which allowed us to overcome the severe industry-wide CPU shortage. We have quickly adjusted our product portfolio converted every available supply to our product that meets our customers' requirement and greatly reduced our finished goods inventory. So these efforts enabled our PC and smart devices business to deliver all-time records in revenue in pre-tax income and in profit margin. In PC, we not only extended our clear number one position with record high shipments, but also outperformed the market year-on-year. Our strategy to focus on a high-growth under premium segments continues to deliver results. The volume in Gaming, Thin and Light, Visuals, Workstations, and Chromebooks continued to grow at higher double-digits and significantly outgrew the market year-on-year. Innovation provides us another important growth driver. At the recent Consumer Electronics Show, we demonstrated our leading technology in 5G and foldable with innovative products such as world's first 5G PC. Under the Lenovo ThinkPad X1 Fold, which was named the one of Time's 2019 Best Inventions. The ThinkBook Plus notebook PC with e-ink display on top also received a very positive feedback. Looking forward, while micro challenges may continue with a proven operational excellence and breakthrough innovation, we are confident that we will continue to drive premium-to-market growth in our PC business and the industry-leading profitability. Our Mobile business delivered its fifth consecutive profitable quarter. In our stronghold, Latin America, our volume outgrew the market by 19 points, while improving profitability. Going forward, our Mobile business we are continuing to strengthen profitability while driving growth in new markets. Our new Motorola Razr foldable has received greater responses from investors, media, and tech opinion leaders. We will build on this excitement to re-enter the premium segment. In Data Center, our server volume grew by 18% year-on-year though Data Center revenue remained flat year-on-year as a sharp component price reduction resulted in erosion of average sales price. Profitability continued to improve year-on-year. Our non-hyperscale business had its highest revenue in four years and grew nearly 16%, especially in China; it was up almost 46% year-on-year. We continue to see strong -- over 40% year-on-year revenue growth in software-defined infrastructure and the storage. Looking forward, we will resume revenue growth in DCG. In our hyperscale business, we will expand our business with the existing customers and continue to acquire new customers. In our non-hyperscale business, we will continue to drive premium-to-market growth in servers software-defined infrastructure, high performance computing, storage, software and services with the increasing customer diversity and a broader indirect channels. Our intelligent transformation continued to show strong momentum. In Smart IoT, revenue almost quadrupled year-on-year, driven by strong growth in AR/VR, Smart Home, and Smart Office. Smart Infrastructure also grew more than 15% year-on-year driven by software defined and the network function virtualization. Smart Vertical revenue doubled thanks to triple-digital revenue growth in Data Intelligence Business group, Smart Healthcare, and Smart Education Solutions. We have noticed accelerated demand in China for our remote office, online education, online healthcare and other online services solution due to impact of the ongoing epidemic. Last but not least, as we mentioned in the last quarter, our software and services revenue continued its hyper growth and reached US$1 billion in a quarter for the first time, up 41% year-on-year. Looking forward, things there are still much uncertainty around the novel coronavirus. We will actively manage this evolving situation through our geographical balance, operational excellence and a solid strategic execution. We are confident in overcoming this challenge and quickly resume to the normal. Thank you. Now let me turn it over to our CFO, Wai Ming. Wai Ming please.
Wong Wai Ming: Thank you, Yuanqing. I will now take you through Lenovo's financial and operational performance in Q3 fiscal year 2020. Next chart please. Let me share with you the financial highlights. We are pleased to announce another record quarter for the Group. Our third quarter revenue was $14.1 billion, a new record and up 0.5% year-on-year or nearly 2% in constant currency. Our business groups delivered exceptional execution against a backdrop of the severe supply constraint. Gross profit increased 10% year-on-year and gross profit margin expanded 1.5 percentage points to 16.1%, thanks to favorable sales mix. Our team efforts in driving continued sales mix improvement paid off. The improvement of Data Center Business was again in a positive profit calendar [ph]. Our transformation actions had led to accelerated growth in high margin software and services business and in turn improved overall profitability. Operating expenses rose 10% to $1.8 billion and the E/R ratio was 12.6%, up 1.1 percentage points year-on-year, driven by our continued investment in sales, marketing, research and development. The Group PTI increased 11% year-on-year. And PTI dollar is at an all-time high. Among all business group, our PCSD business is the largest in the world with the highest ever PTI margin while MBG and DCG continue to improve their profitability. Our ability to set a new milestone in PTI demonstrated our ability to deliver strong margins and robust growth on earnings per share despite the supply constraint. Net profit attributable to equity holders was $258 million, up 11% year-on-year. Basic earnings per share came in at US$0.0216 up from USD0.0196 last year. Next chart please. In Q3, our cash generated in operation was $538 million, compared to $1.2 billion cash generating in the first half of the fiscal year. We made less cash from operations compared to the corresponding period last year due to the two initiatives we took in the quarter. We have built some strategic position in critical parts, leading to a $206 million increase in total inventory year-on-year during the quarter and our accounts receivable factoring volume dropped year-to-year. Next slide please. Our Intelligent Device Business Group, consisting of PC and Smart Device business group and Mobile business group achieved a record quarterly revenue, thanks to the strong growth in premium segments within PCSD and the strength in the software and services business with the all-time high pre-tax margin in PCSD and proper expansion in MBG, our IDG delivered a PTI of $687 million, up 17% year-on-year and it's PTI margin increased 0.8 percentage point year-on-year to 5.5%. Next chart please. In Q3, despite being hit by key component shortage, the PCSD business group revenue grew 3% year-on-year to a record of $11.1 billion. Our team continued to execute a strategy to capitalize on the high growth and premium segments growth potential. The revenue from premium products across Workstation, Thin & Light Visual and Gaming PC grew double digits year-on-year and now contribute more than half of PCSD's revenue. We are making important progress in our Intelligent Transformation by focusing on our software and services business, with its revenue up by a strong double-digit year-on-year and carried the highest margin profile among all products. Leveraging this strategic shift in sales mix the PCSD business group set a record PTI margin of 6.2% in quarter three and reinforce its leadership position, not only in the PC shipments, but also profitability. Next chart please. MBG also suffered from a supply constraint, resulting in a year-on-year revenue decline of 17%. It's focused strategy to invest and develop the business in regions where it has competitive advantages remain effective, helping MBG deliver positive PTI for the fifth consecutive quarter. Latin America remains a stronghold and MBG's margin further expanded in this region. The MBG business is accelerating its innovation by launching attractive new products, including the recently announced foldable smartphone, the Razr. This product has earned positive customer reviews and will start contributing to the business revenue, as well as providing an opportunity to upsell and re-enter the premium segment. Next chart please. In Data Center Group, the business momentum is improving. Our server shipments grew 18% year-on-year, although revenue growth was again constrained by low average selling prices, a lingering problem caused by the significant correction in commodity prices. Our DCG revenue was $1.6 billion, largely flat year-on-year. Our non-hyperscale business reported its highest quarterly revenue in four years, representing double-digit year-on-year growth. We delivered strong growth in data center infrastructure, software-defined infrastructure, storage and software and services. Our DCG operation in China sees the opportunity to broaden its sales operation product portfolio. The storage revenue grew at a strong double-digit rate. Thanks to the NetApp joint venture and new product growth in entry and mid-range flash arrays. Our software-defined infrastructure product performance have win market share and achieved strong double-digit revenue growth. For hyperscale business, the annual revenue comparison was most difficult for the period under review. And therefore, its revenue was still down year-on-year. However, the price erosion will come to an anniversary of this quarter, implying easier base of comparison going forward. Our DCG strategy is to balance between future investment and profitability. In Q3, the business further narrowed its losses by US$8 million year-on-year to US$47 million. Next chart please. Looking forward, macro risk factors, especially novel coronavirus outbreak, could bring short-term volatility. The unfortunate health crisis could lead to meaningful disruption in Chinese demand and supply chain. For us, the delay in employees returning to work has had the biggest impact on our business. The majority of our factories in China have reopened and are now operational, albeit on a limited basis due to transportation and travel limitations. Our suppliers and logistic service across the country also affected. Given the situation remains extremely dynamic, it is difficult to provide an accurate estimation of the full financial impact. Nevertheless, we believe this is a one-off event and our priority is to work with our supply chain to regain 100% capacity as soon as possible. We have continuous decline in place and we'll leverage our global manufacturing capabilities and strategic supply partnership. We expect a rebound of demand in China after stabilization of the health crisis, where the demand from the rest of the world remains strong will help accelerate the recovery of our business in China. Further, our demand drivers could also emerge to bode well for our businesses. For example, our PCSD and DCG businesses are well poised to benefit from the trend of remote education, remote work, home entertainment and remote health consulting. We are confident of driving long-term profitable growth when we aim to deliver a premium-to-market growth on the group top slide. For PCSD, our goal is to continuously deliver industry-leading profitability and increase of sales in high-growth and premium segments as well as accelerating our software and services expansion to sustain premium-to-market revenue growth. For Mobile, we'll continue to deliver innovative new products. Together with the launch of our 5G services, we look for potential growth opportunities by building more profitable core markets. For Data Center business, our journey to improvement has just begun. The trend of data growth is expected to accelerate following the development of more products and applications, featuring new technologies including 5G. Lenovo will tap into this opportunity to drive growth in multiple segments, including enterprise server, software-defined infrastructure storage and software and services. For hyperscale business, the group will leverage it's differentiated in-house design and in manufacturing capability to broaden its customer base. We are going to increase our pocket share within existing customers by expanding product coverage from service to storage. We expect an improvement of hyperscale business and better profitability when the new share wins are fully operational. Thank you. And now we can take your questions.
Jenny Lai: Thank you, Wai Ming. Now we will open the line for questions and this section will be in English only. Please be reminded to limit yourself to two questions at a time. Please also state your name and company before asking the questions. Operator, I'll turn it over to you now. Please, give us your instructions.
Operator: [Operator Instructions] You have the first question comes from the line of Gokul Hariharan from JPMorgan. Please ask your question.
Gokul Hariharan: Yes. Hi. Thanks for taking my questions and congrats on the great results in the December quarter. First of all, just to get some more clarity on the near-term challenges. Could you talk a little bit more specific on both the demand outlook, given the virus outbreak, as well as in the supply side, when do we expect to get back to a reasonable level of supply for various product groups over the next couple of months? That's my first question. Second question is on the server side, Data Center Group, it looked like hyperscale seems to be the only area which is not yet ramping up in terms of growth. Non-hyperscale growth seems to be ramping up, both outside China as well as in China. Could we talk a little bit about what kind of growth are we expecting, either for fiscal 2021 or calendar 2020? And when do we expect hyperscale to come back to strong double-digit growth after being relatively weak in the last several quarters? Thank you.
Yuanqing Yang: Thank you, Gokul. I will answer your first question. So probably Gianfranco can help to add something. Then Kirk Skaugen will answer your second question. So definitely, coronavirus outbreak impacted our demand in China and our production capacity in China as well. Mainly because of three reasons. First, so -- it delayed our factory reopen time. Second, so less workers come back to the factory. So, supply is also impacted, particularly the cost of components that are produced by the smaller suppliers. So they are also facing the issue to reopen the factory. But for Lenovo, we are more optimistic on our supply, although, it will be impacted in this quarter as well. So, regarding of the factory we open, so by now most of our factories in China have already been reopened, again, except for Wuhan and Chengdu factories. So we see a multiple problem in this cost guided by those two cities. Regarding of workers. So we are providing the support and incentives to encourage more workers to come back to work. So two factories are more important for our PC supply. Volume at Shenzhen another issue [Indiscernible]. So our current estimation is by the end of this month, we can resume 100% production to start in Shenzhen by the end of this month. And we can resume seven as I said compensated incorporate by the end of this month. So definitely, for Wuhan factory, so it's mainly for smartphone. So we are waiting for government guidance to be [indiscernible] the Chengdu is mainly for sales comp. And also -- Lenovo has a very diversified manufacturing footprint. So we actually have the global footprint. So that will help us -- help ourselves as well. So we have smartphone manufacturing factory in Brazil, in India. So that will have our Smartphone business particularly in Latin America and then in North America. And also we have a factory in Japan, in Mexico, in U.S. for our PC and the server as well. So that will help our PC and server business in the rest of the world. From demand point of view, so definitely China current quarter will be impacted. So the good news is cycle of work our demand for all our products including PC, smartphone and data center are still very strong. So as I said, no wonder we can leverage our rest of work manufacturing facility to fulfill this demand, but also that can help our China manufacturing factory to ramp up. So that's regarding your first question. So I don't know whether Gianfranco you want to add something to that. By the way so regarding of the supply. So I talked about the third important message is supply. So right after the outbreak of the virus, so we realize the issue. So we immediately are pulling some supply to our warehouse. So yes, so I think for a shorter period, we have enough of component to resume the operation, resume the factory production. And also we are helping most of the suppliers, smaller suppliers to resume work, to resume the operations, so that from longer point of view. So we still can have enough component in supply. So that's my answer. So Gianfranco, you want to add something here?
Gianfranco Lanci: Yes, I think a couple of things. One we will be ready to ask one will be back to full capacity I think that within Q1 by the end of March we should be able at least in [Indiscernible] and some other factories it'll be back at 100% capacity. The other thing is that we see production does go down in China. On the other side, we still see very strong demand on PC in the rest of the world U.S., EMEA and Japan, Asia Pacific. So I think in terms of demand in the rest of the world we could see a very good demand. The only problem is really in China. That's even though transition to -- the same operation to win the stand clearly it's not over yet because even in Japan that the forecast or the projection from major market analyst it was very negative. We could see a very good demand.
Yuanqing Yang: Yes. So by the way, this quarter it's not in the novel peak quarter target. So our peak requested to last quarter it's not true, I think a year. So when I talk about the capacity, it's definitely about the peak capacity. So that means the impact to our shipments in this quarter will be less than last quarter even we -- we refer to the same situation. So that's what I want to -- want you to understand.
Gokul Hariharan: Okay. So Kirk I mean -- would you please answer your second question?
Kirk Skaugen: Yes this is Kirk speaking. So with regards to the hyperscale business, I think we have very strong confidence as we go into our next fiscal year that demand is definitely recovering. At the existing accounts we have we've been holding or growing share relatively consistently. A few of those customers were still working through excess capacity. But there's a few things that I think should give us confidence. Number one, we're winning business now in storage, not just in the server space. And we're winning business in the hundreds of millions of dollar range in storage which is the first for us.  The second is we have confidence because in the past we have been a system integrator and perhaps not the motherboard supplier to some of these large accounts, but with our ODM plus strategy we know 18 months in advance that we have gotten design wins for motherboards and that will improve our profitability, as well as our ability to manage our supply chain more effectively than if we were acquiring boards from an ODM. The third thing is we're seeing components like SSD and memory that had seen the largest drops in a decade. Now beginning to grow again which will improve the revenue outlook year-on-year. So I would say as we've said before, we're in 6 of the top 10 hyperscalers in the world. And we expect in the next fiscal year to be growing significantly across almost all of those. In addition, we just added a sales force to cover the next wave of hyperscalers globally and we have acquired now dozens of new customers that will be coming online in the next fiscal year. We are waiting week-by-week to look at where we do rely on ODMs for motherboards, how their factories are coming back. But for the stuff we had internally we have plants in Hungary, plants in Monterrey and plants in Whitsett that are all up and operationally, supplying the demand this quarter.
Gokul Hariharan: Thank you. 
Jenny Lai: Operator, we are ready for next question please.
Operator: Next question comes from the line of Abel Lee from Bank of America. Please ask the question.
Abel Lee: Thanks. Hi Jenny and the management team. I'm grateful for results. Firstly, I would like to have an update on all the U.S. sector like your PC, I think the memory price hike is possibly for data centers, but we worry about the memory price hike will impact our your PC margin also on smartphone. Yes I can understand like a near-term demand could be kept due to the coronavirus in China. But how do you feel like the 4G smartphone inventory in China? I feel like the 4G smartphone inventory is pretty high? And lastly about data center, can I have more update about like qualitative driver. Is a hyperscaler enterprise in the China or non-China? Thank you. 
Yang Yuanqing: So Gianfranco could you please answer the primary -- memory pricing issue probably Buniac, can help on the 4G inventory.
Gianfranco Lanci: Yes, yes.
Yang Yuanqing: Go ahead.
Gianfranco Lanci: No, on memory we see some I would say there is more increase with memory rather than DRAM. We need to see with the coronavirus and with the -- in the current environment what is -- do happen in the next couple of quarters because we have seen already during the last couple of weeks that rather than increase they started to decrease again that we will start to see memory going down again. But I think in terms of impact on the margin, I don't see any major issue in terms of impact on the margin. For a couple of reasons, we have built up a very good inventory in terms of memory. So we have enough component for at least for this quarter and also next quarter. And on the other side there is price are now slowing down again. And we will manage also in terms of configuration and pricing in order to avoid any impact on the margin. So frankly speaking, I don't see any major issue on memory.
Abel Lee: Okay. Thank you, Gianfranco. Buniac, could you please answer your 4G inventory issue?
Sergio Buniac: Yes. So I mean, we see the opposite. I think our inventory levels are slightly below target as we ended Q3 over the globe including China. Our activations in Q3 were much higher than our selling by almost 0.5 million globally, what's not normal for this period. And in this current quarter we are still seeing very strong activations even if some measures we take to contain the expenses. So we expect the inventory by the end of this quarter as we are not seeing any drop in activations to be extremely off both in 4G and of course we are just launching 5G phones in the next few weeks. So we -- I feel actually the opposite right now. We have a very health inventory position much, much better than a year ago and much better than one quarter ago what's not normal for this at the time of the year.
Yang Yuanqing: Yes. So I agree with Buniac. So I actually rest of the world. So last quarter we -- our volume - -volume and revenues dropped as mainly because the supply shortage. So actually we sold more product than we -- we sold out more products in the retail part than we sale into the future business and retailers. So we don't have the inventory issue in the rest of the world. So I think probably the majority inventory you talked about is in China. Fortunately in China we -- our business is another one the big part. So actually we don't have right now inventory issue and [indiscernible]. So probably it will give us more opportunity to grow our business with new products. Okay. So regarding of the PC Kirk, could you please answer the last question.
Kirk Skaugen: Yes. I think the simplest answer is we're seeing strong premium-to-market across all geographies and in all segments. So hyperscale demand is recovering and strong. It should get stronger each quarter as we go through the next fiscal year. Again because I mentioned earlier not just in servers, but also in storage, and with improved profitability as higher end workloads like SAP HANA move to the cloud we're supplying not just 2-socket, but 4-socket and even 8-socket capabilities to some of the large cloud providers to meet that demand. And obviously, those margins are better than some of the entry products. Our non-hyperscale revenue as you heard was the highest in four years and we're seeing premium-to-market growth and we should continue to see that across software-defined infrastructure. We're seeing strong growth across our hyper-converged infrastructure from Microsoft, from Nutanix, from VMware as well as from smaller players like the Pivot3. On storage, especially, in all-flash arrays and hybrid flash arrays, we've seen more than 40% growth across our aggregate storage business both with the NetApp joint venture in China, but also with the expanded entry and mid-range portfolio we have in the rest of the world. On services, we're making very good progress. Our attach rate on services penetration is up another 7% year-on-year. So we have our highest-ever deferred revenue on the balance sheet now, which should continue again consistently improving every quarter. And then in supercomputing, we've continued to use our Neptune warm-water cooling to deliver on the top 500 list. Now one and three of the top 500 computers in the world run Lenovo, and we have coverage now in 50% of the countries that are even on the list. So that's 14 countries in the world where we're number one in total core, number one in aggregate performance with 35% share. So the simplest answer to your question is, we're seeing strong premium-to-market growth and want to continue that on the top line. And this is our 10th consecutive quarter of PTI improvement. We want to continue that while still driving premium-to-market revenue growth. Thank you.
Jenny Lai: Thank you, sir. Operator, we are ready for the next question.
Operator: Next question comes from the line of Verena Jeng from Goldman Sachs. Please ask your question.
Verena Jeng: Yes. Hi. This is Verena from Goldman. My first question is on Data Center. So I would like to know or you mentioned that your software-defined infrastructure continue to win the market share. So could you elaborate more or like what's our edges advantages here? And who we are winning over the market share? And what's our target market? Is it China or outside of China? And my second question is on smartphones. So I would like to know like how much of the production is coming from the Wuhan factory? And can our other factories cover the supply? And will this affects our mobile business profitability? Thank you.
Yang Yuanqing: Yes. So…
Kirk Skaugen: So this is Kirk. I can answer the first question maybe on software-defined?
Yang Yuanqing: Yes please. Go ahead Kirk.
Kirk Skaugen: Yeah. So I think what we are seeing is in -- whether you're talking about the larger players like Nutanix, Microsoft and VMware in many cases what we're hearing from our partners is that we may not be their largest partner, but we're definitely their fastest-growing partner. So we're seeing a good balance and good consistent growth across Nutanix, VMware and Microsoft on Azure HCI and others. There is also some smaller players like Scale Computing, Pivot3 where we're doing some really good work around smart city in terms of protecting citizens like we've said publicly before for cities like Bogota and others. So, certainly in China, we're also seeing strong growth there, but it's been a consistent strong premium-to-market quarter-after-quarter for many quarters now and we think that will continue. Our differentiation is we've built our ThinkAgile brand to make it the most simple highest performance highest reliable solution in the market. Thank you.
Yang Yuanqing: Okay. So Buniac, could you please answer the second question. So how much of volume was produced of smartphone in Wuhan?
Sergio Buniac: So, let me say, so first half of our volume is produced -- manufactured in China and around 60% to 70% of that's in Wuhan. So the factories we're opening tomorrow and I think we expect some short-term volatility and you manage through that. Now that said, the Brazil factory, the India factory they can – we can increase capacity if we need in the near future. So we are managing carefully. Let's see how it goes around half in China from what 70% in Wuhan.
Yang Yuanqing: Yes. So we actually – so not just produce smartphone by ourselves but we also leveraged ODM to produce for us so in this conjunction. So definitely we try to shift some production from Wuhan factory to third-party as well. So if they can resume the operations earlier in the Wuhan so definitely that will help.
Sergio Buniac: Yes. Actually we are already doing that. So in many parts of China on the ODMs our production has resonated last week. So we'll make it from – because I think most of this...
Yang Yuanqing: I think we – given Lenovo to the global footprint. So although you will still see the impact to the minimum. So hopefully, so the maximum volume to impact our smartphone is just 1 million or 2 million. So that's the maximum but we definitely have the plan to mitigate that.
Jenny Lai: Thank you. Operator, we are open for the last question, please.
Operator: The last question comes from the line of Hao Chen Yong [ph] from CICC. Please ask the question.
Unidentified Analyst: Hi, congratulations. This is Hao Chen Yong [ph] from CICC. Thanks for taking my question and I have two questions. The first is also regarded to the part shortage. I was wondering about the PCSD and MBG if we don't consider the wireless, because you are talking about the shortage and can I understand this as a pressure to the – of the gross margin for the next third quarter, which is – the shortage will continue. And the second thing is about the – can I have two numbers. First is the percentage of revenue of your MBG imports sourced America? The second is the percentage of hyperscale server in your DCG structure? Thanks.
Yang Yuanqing: If you can Gianfranco. Could you please answer the margin impact? If the shortage will continue I...
Gianfranco Lanci: Hello? I think there are two different I would say when you look about the shortage I think there are two different kind of shortage. One is for sure the impact coming from the coronavirus. And the other is that we did see some shortage on the CPU. The situation is improving but it's not yet mobilized. And frankly speaking on both, as you see from Q3 results, I don't see any negative impact on the margin maybe we can get some positive impact from the margin simply because the entire market will be short of product that’s the reason to lower down – lower down price or to take action or to clean inventory. So all these things are our job. And in terms of margin we have been able to – if I look at Q3 and if you look at resulting I mean, we have been able even to improve margin in a difficult situation in terms of supply – in terms of component supply. So I really don't see any margin impact on – negative margin impact. I may see an impact in terms of some positive margin impact due to the shortage, but simply because – as I said demand worldwide on PC is still very, very good. And probably in Q1, the entire market the entire industry will not have enough for supply.
Yang Yuanqing: Yeah. So I want to echo Gianfranco's point. So, actually operational excellence is Lenovo's core competence. So not only, we know how to manage the margins during the supply shortage. So as Gianfranco said, there is actually probably will help us to improve the growth profit. But also – so even in the supply shortage situation, we still can manage our business well. So last quarter, it was actually a very good example. So actually, we tried to sell more Intel-based chips to the beginning of the quarter. But we were informed, so we couldn't cater the supply that are committed at the beginning of the quarter – in the middle of the quarter so like November. But we quickly shifted our product portfolio and the supply to other CPU vendor as MB, NVIDIA with media tech. So it doesn't help us to deliver this which is probably a higher shipment and the revenue and also the fantastic performance in our PCSD. So, actually the PCSD delivered historical high shipment, historical high revenue and the profit that's because of our excellent operational capability. So we had a very short period to adjust, but we did that. So actually last quarter, we sold almost 29% MB, PC and also we sold more media tech with that the Chromebook as well – so in Lenovo's history. So that's the kind of our capability. We did in the west that even one unit of the supply. So at the end of the quarter, so we converted those to supply into the finished goods and into the – and to meet the customer requirements. So that's for sure Lenovo's unique core competence. We believe that, we'll have it in current quarter as well.
Jenny Lai: Thank you, Yuanqing. Due to limited time, we are going to end our webcast now. We thank you very much for joining today's call. If you have any further questions, please feel free to contact me directly. The replay of this webcast will be available in the next couple of hours on our Investor Relations website. Thank you again for joining us.